Operator: Greetings and welcome to the Fuel Tech Inc. Second Quarter 2022 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host Devin Sullivan, Senior Vice President of The Equity Group. Please go ahead. 
Devin Sullivan: Thank you operator. Good morning everyone and thank you for joining us today for Fuel Tech's second quarter 2022 financial results conference call. Yesterday after the close, we issued a copy of the release which is available at the company's website www.ftek.com. Our speakers for today will be Vince Arnone, President and Chief Executive Officer; and Ellen Albrecht, the company's Chief Financial Officer. After prepared remarks, we will open the call for questions from our analysts and investors. Before turning things over to Vince, I'd like to remind everyone that matters discussed on this call except for historical information are forward-looking statements as defined in Section 21-E of the Securities Act of 1934 as amended which are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995 and reflect Fuel Tech's current expectations regarding future growth of results of operations, cash flows, performance, and business prospects, and opportunities, as well as assumptions made by and information currently available to our company's management. Fuel Tech has tried to identify forward-looking statements by using words such as anticipate, believe, plan, expect, estimate, intend, will, and similar expressions, but these words are not the exclusive means of identifying forward-looking statements. These statements are based on information currently available to Fuel Tech and are subject to various risks, uncertainties, and other factors including, but not limited to, those discussed in Fuel Tech's annual report on Form 10-K in Item 1A under the caption risk factors and subsequent filings under the Securities Exchange Act of 1934 as amended which could cause Fuel Tech's actual growth, results of operations, financial condition, cash flows, performance, and business prospects and opportunities to differ materially from those expressed in or implied by these statements. Fuel Tech undertakes no obligation to update such factors or to publicly announce the results of any forward-looking statements contained herein to reflect future events, developments, or changed circumstances or for any other reason. Investors are cautioned that all forward-looking statements involve risks and uncertainties including those detailed in the company's filings with the SEC. With that said I'd now like to turn the call over to Vince Arnone, President and CEO of Fuel Tech. Vince, please go ahead.
Vince Arnone: Thank you, Devin. Good morning and I want to thank everyone for joining us on the call today. We posted another improved quarter and believe that our recovery is continuing in a measured and sustainable fashion. For the 2022 second quarter, revenues improved by 22%, SG&A reflected our continuing commitment to cost control and operational efficiency, and our backlog rose to more than $10 million. Our balance sheet at June 30th reflected total cash of more than $33 million with no long-term debt. In addition we announced $3.6 million of new APC awards during the quarter, which brings us to approximately $9 million year-to-date. We commenced operations of a new FUEL CHEM Targeted In-Furnace Injection system and importantly, demonstrated material progress in commercializing our Dissolved Gas Infusion or DGI program with the completion of a white paper that will be published shortly, which validates this technology's best-in-class oxygen transfer efficiency. APC revenues increased by approximately $1.8 million from last year's second quarter and we are confident that APC revenues for the year will exceed the $6.9 million reported for full year 2021 and this could happen as early as the end of the current third quarter. We continue to pursue a global sales pipeline of between $50 million to $75 million, consisting of a variety of projects and end markets. And we are tracking projects with a contract value of $5 million to $10 million that are expecting to be awarded before the end of the third quarter of this year or early in the fourth. FUEL CHEM revenues declined from last year's second quarter due largely to the expected loss of one customer due to permanent plant retirement and to unforeseen plant outages. We did receive some good news within this business segment regarding client attrition as one of our long-term customers that had been planning to discontinue the use of our program will instead remain operational through 2023 and perhaps longer. This change in course is in response to several factors, including high energy demand in the region where these units are located, and the operational efficiency and economic advantages delivered by our chemical technology program as these units continue to utilize lower cost fuels. This development in combination with the commencement of operations at a new coal fired unit in the Western United States that is expected to run during the high-power demand summer months should help to ensure a base level of FUEL CHEM revenues through 2023 at a minimum. For the full year 2022, we expect FUEL CHEM revenues in the $13 million to $15 million range. I want to take a moment to discuss the current environment for coal and clarify how the recent increased use of coal impacts our business. Increased energy demand overall driven by climate factors and by the resurgence in economic activity is forcing coal fired plants in certain geographies to be dispatched in order to meet rising energy demand. This trend is occurring despite the increase in coal prices as energy demand is requiring that coal-fired units generate electricity in certain regional areas as other fuel sources aren't available. Additionally natural gas prices have remained high vis-à-vis coal. And as a result the favorable dispatch price of coal fired generation has enabled more coal fired power to be placed on to the grid. This trend provides a favorable landscape for us to be able to take advantage of possible pollution control projects in the future. These projects include those driven by the proposed recent update of the Cross-State Air Pollution Control Rule also known as CSAPR and the good neighbor provisions of the Clean Air Act. To this end over the past few months, we have been receiving a noticeably higher volume of inquiries from potential new and former utility and industrial customers regarding EPA's proposed update to CSAPR that was published on April 6th of this year in the Federal Register. The previous CSAPR rule was based on 2008 Ozone National Ambient Air Quality Standards where nitrogen oxide is a precursor pollutant to ozone. The EPA entered into a consent decree earlier this year to update the CSAPR rule to make it compliant with the 2015 national ozone standards, while meeting the good neighbor requirements of the Clean Air Act. These CSAPR revisions could impact utility and industrial sources requiring additional NOx control, starting as early as 2023 for utilities and 2026 for industrial units and we are receiving inquiries related to these potential new standards today. For the APC segment, we continue to pursue opportunities for our SCR and ULTRA product offerings and have been awarded multiple contracts in recent months for the provision of these technologies. Additionally other recent contract awards have involved the application of our SNCR emissions control solution to reduce nitrogen oxides from stationary combustion sources for domestic and international applications and also our Flue Gas Conditioning technology to improve the performance of electrostatic precipitators for an international client. Lastly, decarbonization continues to be top of mind for many industries and we are closely watching the planning of the steel industry and others as they pledge to invest in technologies to improve their global carbon footprint. Fuel Tech has long-standing relationships with technology suppliers and end users that will assist in our ability to capitalize on these opportunities as they develop. As we stated in our last call, we continue to develop new marketing strategies to reach key decision makers at all domestic coal fired utilities to reintroduce our FUEL CHEM program benefits. These benefits include lowering the cost of dispatch by offering fuel flexibility and the ability for our power generation unit to burn lower-cost fuels of opportunity, extending facility life and improving overall facility profitability, and structuring a program that is active only when the unit owner wants to capitalize on high energy demand and related high unit capacity factor opportunities. We also continue to investigate providing our chemical technology solution to address the emissions created by the burning of high-sulfur fuel oil in Mexico, which is being undertaken without the necessary environmental remediation and at the expense of the health of surrounding communities. We will continue to watch the development of this activity closely. However, we do believe that political pressure is building in favor of the implementation of our FUEL CHEM program at additional facilities in Mexico. And our partner is currently in discussions with the state-owned utility the CFE, regarding application of the technology at several units at one plant site. We are very excited to announce significant progress in our developmental Dissolved Gas Infusion or DGI business initiative, which focuses on the efficient delivery of oxygen for industrial and municipal water and wastewater treatment. As outlined in our soon-to-be-published white paper, our DGI technology demonstrated that greater than 99% of the oxygen supplied to the DGI system was delivered to the treatment reservoir as dissolved oxygen with no loss to the atmosphere. Our DGI channel injector was fully capable of transferring oxygen-infused water to the treatment reservoir, while only being placed 24 inches below surface level without any measurable loss of oxygen to the environment or any delay in flow of oxygen to react in the aqueous space. This study is an important validation of our DGI technology and we worked with two experienced experts in the field of aeration and water and wastewater treatment to structure the test protocol and to measure and evaluate performance results. DGI has the potential to displace or enhance traditional aeration technologies by enhancing or increasing the capacity of underperforming aeration systems; providing supplementary oxygen for existing operations; delivering residual dissolved oxygen in higher concentrations and dosing rates than traditional technologies; or meeting demand immediately for wastewater streams during process up-step changing requirements or short retention scenarios. The benefits to be derived from the application of DGI are many and can include regulatory compliance; increased treatment capacity and the avoidance of material capital spending; water preservation; the minimization of chemical utilization; odor control; and improving overall quality – water quality for humans and wildlife. We continue to work with our water and wastewater treatment marketing specialists to identify and address our addressable markets that consist of municipal wastewater and water utilities; agricultural applications; food and beverage facilities including dairy farms and soft drink manufacturers; landfills and natural bodies of water and reservoirs. Additionally, we have commenced our search – excuse me, we have commenced our search for an experienced water and wastewater treatment executive to guide the development, commercialization and ultimate expansion of our DGI business and we are hoping to complete this search in the third quarter. In closing, I want to again thank the Fuel Tech team for their continued hard work and dedication. We have improved operational performance in the first half of the year and we are excited about the balance of 2022. We look forward to keeping everyone apprised of our progress. And with all of that said, I'll now turn the discussion over to Ellen. Ellen please go, ahead.
Ellen Albrecht: Thank you, Vince and good morning, everyone. For the second quarter of 2022 consolidated revenues rose by 22% to $6.4 million from $5.2 million in last year's second quarter. The increase was driven by a $1.8 million increase in the APC segment revenue to $2.7 million from $1 million in last year's second quarter reflecting project execution timing and revenue generation from the new orders booked in 2021 and continued during the first six months of 2022. FUEL CHEM product line revenue declined to $3.6 million from $4.2 million in last year's second quarter, primarily due to the loss of one customer from permanent plant retirement and unforeseen plants and unit outages. Partially offsetting this decline was contribution from a new customer that commenced operations in the quarter. Consolidated gross margin was 42.1% compared to 49.5% of revenues in the second quarter of 2021, reflecting lower gross profit margins from both operating segments. APC gross margin was 34.2% compared to 48.6% in last year's second quarter due to the shift in product and project mix. While gross margin for the FUEL CHEM segment was 48% for the 2022 second quarter down slightly from 49.7% in last year's second quarter due to lower revenues combined with higher material freight and labor costs.  Consolidated APC segment backlog at June 30, 2022 rose to $10.5 million from $9.1 million at December 31. Backlog at June 30, included $4.5 million of domestically delivered projects and $5.7 million of international delivered project backlog. We expect that $8.4 million of current consolidated backlog will be recognized in the next 12 months.  SG&A expenses for the quarter fell to $2.9 million from $3 million in the second quarter of 2021. As a percentage of revenue, SG&A in the 2022 second quarter declined to 45% compared to 57% in the second quarter of 2021. For 2022, we are targeting SG&A between $12 million and $12.5 million, exclusive of any additional investments that would be required to grow our business specifically our DGI segment.  Research and development expenses for the second quarter declined slightly to $289,000 from $315,000 in last year's second quarter due primarily to reduced employee costs and the timing of execution on current project initiatives. Our operating loss narrowed to $485,000 from $689,000 in last year's second quarter, reflecting higher revenues partially offset by reduced margins.  Our net loss for the quarter was $356,000 or $0.01 per share compared to a net loss of $778,000 or $0.03 per share in last year's second quarter. Adjusted EBITDA loss was $199,000 compared to an adjusted EBITDA loss of $557,000 in the same period last year.  Moving to the balance sheet. I'm happy to report that our financial condition remains strong. As of June 30th, we had cash and cash equivalents of $31.3 million. Working capital was $37 million or $1.22 per share. Stockholders' equity was $44.6 million or $1.47 per share. And the company had no debt.  As referenced in our 10-Q filing, at the end of June our Board of Directors approved a plan to invest up to $10 million of excess capital in debt securities. As of June 30, these funds were held in a money market account, but will be used to purchase US treasury securities with varying terms of maturity ranging from 3 to 36 months. Our intent is to hold these securities to term in order to maximize the return on our investment without impacting the funding of current and forecasted operations. Our efforts remain focused on new contract awards expedient execution and technology innovation. We continue to prioritize our cost control spending and mitigate supply chain challenges as best possible. We are excited for future success with our DGI technology and believe the strength of our balance sheet will bolster these initiatives.  I'll now turn the call back over to Vince. 
Vince Arnone: Thanks very much Ellen. Operator why don't we go ahead and open up the line for calls. Thank you. 
Operator: [Operator Instructions] Our first question comes from Amit Dayal with H.C. Wainwright. 
Amit Dayal: Thank you. Good morning, everyone. 
Vince Arnone: Good morning.
Ellen Albrecht: Good morning.
Amit Dayal: Hi guys. You were giving some color on the FUEL CHEM revenues. I think you said $13 million to $15 million. But while you're talking about it there was some static on the line. Do you mind just going over that briefly please? 
Vince Arnone: Yes. I have said that our range of revenue for FUEL CHEM for this year is going to be somewhere in the $13 million to $15 million range and that's for 2022. Now one of the other comments I said that is one of our longer term primary customers for FUEL CHEM that had been considering discontinuing the use of our program has basically told us that the benefits of our program are too significant for them not to use it. So at a minimum they're going to be running through 2023 and in all likelihood after that time frame. So as we sit here right now we're looking at that revenue range for FUEL CHEM at a minimum through 2023 and then we'll address that range as we move into 2023 and beyond.
Amit Dayal: Understood. Thank you for that. Typically, we see a little bit of a step-up in revenues from 2Q to 3Q. Do you think that will play out in 2022 as well?
Vince Arnone: Yes, I do. And in particular for the FUEL CHEM revenues. The third quarter of the year is typically our highest revenue generating quarter for our chemical technology business and we would expect the same thing for this year.
Amit Dayal: Understood. Thank you. You were highlighting the Mexico opportunity that relatively remains still in play. Could you remind us Vince how big that opportunity is for you?
Vince Arnone: Yes. The opportunity is large Amit. And we've talked about Mexico on a regular basis for a little while now as an opportunity for us. It's something that -- it's an opportunity that we can't control. The Mexican government makes -- needs to go ahead and take the decision to place requirements for pollution controls on these units that are indeed burning the heavy sulfur fuel oil, okay? But the opportunity is for -- and this is a range. It's for 20 to 25 units that we believe today are burning heavy sulfur fuel oil that could utilize our program down there. And in Mexico we operate under a licensing arrangement with our partner. And so we realize royalties revenues on our sales that occur down in Mexico. But just say one plant site that has four to five units if they're running our program on an annualized basis, we're talking about $3 million to $4 million in royalty revenues just from that one plant site. So the opportunity is significant and material. I mentioned it on the call because of that fact, but it is very difficult for us to predict when that might come to fruition.
Amit Dayal: Okay. Understood. This IRA legislation that's potentially going to pass, is there any benefits to you guys from legislation or funds available for the clean tech sector?
Vince Arnone: Yeah, yeah. We've taken a look at what's been proposed Amit, and obviously it still needs to be completely passed and put into play. And I think it's going to take a little bit of time before we fully understand all of the implications. Anything that ends up preserving the utilization of fossil fuels or enhancing the utilization of fossil fuels whether it be natural gas, coal, biomass or waste is potentially providing a longer term benefit for our technologies just as a general statement. So, I mean the bill is large and pervasive. It has a lot of incentives for furthering the development of renewables and the like but that will take time. What I will tell you is that what we're seeing in this country and in other parts of the world is that decisions that had been taken to close down certain facilities as of certain dates have been delayed. We've seen it in this country. There was just an article that we saw from Reuters come through yesterday whereby coal-fired utilities that had been scheduled to close are being delayed. And that's happening in Europe as well basically because of lack of power generation capability in certain regions of this country and in certain countries in different parts of the world. So, I think we are going to see cases whereby plants that are burning coal specifically are going to remain open longer. And as we've discussed many times our technologies work with natural gas as well. And anything that continues the utilization of natural gas for power generation or in support of industrial manufacturing processes provides opportunity or benefit for Fuel Tech. So, more to come as we better understand this piece of legislation. But as a general rule anything that could enhance the extension of life or the -- for any fossil fuel-running facility or the expansion of use of fossil fuels, particularly for natural gas, could be positive benefit for us. 
Amit Dayal: Thank you. Understood. And then just last one on DGI, Vince, it looks like you are in the process of hiring some leadership to for commercialization-related efforts. What's sort of the expectation around resources now that you have to put into this in terms of dollar amounts going forward to sort of bring this to market from here?
Vince Arnone: Right. I think Amit I'll be better prepared to talk about that more specifically as we move to a point later in the year where as I noted we are taking the step now. Now, that we have our performance documented and attested to by experts in the field, it's given us the confidence now to take some further steps forward in terms of investment and moving DGI forward. Our first step in that aspect is going to be bringing on some water and wastewater treatment experienced leadership okay? That's Phase 1. Once this person comes on board, we'll then be better to assess how we're going to look to go to market, where we're going to go first and how fast we're actually going to look to move, okay? So, we still have some unknowns. The most positive point about my comments today is the fact that we feel strongly that this technology is going to be viable in markets based upon the performance testing that we have done. We will be publishing this white paper here shortly. It will happen before the end of the third quarter and we'll go out there with that information as well as some marketing documentation on DGI. And then we'll take steps from there. As you know we've been very measured with how we move forward with DGI. We did have some delays as it relates to the impact of COVID and our ability to move some steps forward. But now we're in a good position and we're ready to take some further steps forward here towards commercialization. So, let's revisit that question if you don't mind a little bit later in the year. And I'll have a little bit more to discuss once we are online for call it the third quarter conference call. We'll know more then.
Amit Dayal: Thank you. That’s all I have Vince. Appreciate it.
Vince Arnone: Okay. Thanks, Amit.
Operator: Our next question comes from the line of Peter Enderlin with MAZ Partners. Please proceed.
Vince Arnone: Hey, good morning, Pete.
Peter Enderlin: Good morning, Vince and Ellen, very thorough review and I appreciate the discussion especially about coal generation and CSAPR and opportunities for FUEL CHEM and all that. I just have one sort of different approach or different question, which is have you collected all the accounts receivable from China yet? That's not the question but that's a lead-in to it. 
Vince Arnone: Yes. Actually we appreciate the question. We've talked about this at Fuel Tech board level for the better part of the past 2.5 years since we initiated the wind-down of the operation. And I have to say that we've been more than pleased with the results that we've had with our collection efforts from China. Today, we are virtually complete with our efforts for collection. However, we still have approximately and I'll have Ellen verify this approximately $1 million left to repatriate from China back to our US bank accounts. And that will be done before the end of this year. Ellen, anything to comment? 
Ellen Albrecht: Yes, that's correct. 
Vince Arnone: So we've done very well there Pete with our wind-down. We do have a tranche of cash that needs to come back into the United States. That will be completed by the end of this year.
Peter Enderlin: Well, given that time frame I'm just curious – and given also that you clearly experienced some what you might call intellectual property abuse or infringement in China, has the company ever talked to government agencies like for example FTC or the International Trade Commission or the World Trade Organization about what happened over there? And if so, I guess it would be good corporate citizenship but it would provide a data point for them. But I'm not sure whether there would be any benefit for you to do that. And obviously there would be some risks. So I guess the basic question is have you told anybody other than your accountants what happened?
Vince Arnone: Perhaps offline Pete, we can have a little bit of a deeper discussion. But generally speaking, we took all efforts that as a public company, we could take to go ahead and take action trying to preserve our IP rights in China. And we did have discussions with US governmental organizations as part of that process. So I'll keep it short and sweet like that. But yes we did.
Peter Enderlin: Okay. Well thanks and – interesting results and keep up the progress. Thanks a lot.
Vince Arnone: Thank you, Pete. Take care. Have a good day.
Peter Enderlin: You too. Bye.
Operator: There are no further questions at this time. And I'd like to turn the call back to Vince Arnone for any closing remarks.
Vince Arnone: Thank you, operator. I'd just like to thank everyone for their interest in Fuel Tech. To all of our shareholders thank you for your ownership and continued belief in the company. And to the Fuel Tech employee team, once again thanks for all of your support and efforts. And I look forward to some exciting results as we move towards the end of this year and into 2023. Thanks, everyone. Operator, thank you. 
Operator: You're welcome. This concludes today's conference. Thank you for your participation and you may now disconnect.